Operator: Good afternoon. My name is Kevin, and I’ll be your conference operator today. At this time, I’d like to welcome everyone to the Rogers Corporation First Quarter 2025 Earnings Conference Call. I’ll now turn the call over to your host, Mr. Steve Haymore, Senior Director of Investor Relations. Mr. Haymore, you may begin.
Steve Haymore: Good afternoon. And welcome to the Rogers Corporation first quarter 2025 earnings conference call. The slides for today’s call can be found on the Investor Section of our website, along with the news release that was issued earlier today. Please turn to Slide 2. Before we begin, I would like to note that statements in this conference call that are not strictly historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and should be considered as subject to the many uncertainties that exist in Rogers’ operations and environment. These uncertainties include economic conditions, market demands and competitive factors. Such factors could cause actual results to differ materially from those in any forward-looking statement made today. Please turn to Slide 3. The discussion during this conference call will also reference certain financial measures that were not prepared in accordance with U.S. Generally Accepted Accounting Principles. A reconciliation of those non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the slide deck for today’s call, which are available on our Investor Relations website. With me today is Colin Gouveia, President and CEO; and Laura Russell, Senior Vice President and CFO. I will now turn the call over to Colin.
Colin Gouveia: Thanks, Steve. Good afternoon, everyone, and thank you for joining us today. I’ll begin on Slide 4. Before I discuss the results for the quarter, let me first address how recent changes in global trade policies may affect Rogers in the near-term. As I’ve discussed in the past, our global manufacturing footprint and local-for-local supply capabilities are important strengths of our business. This strategy helps limit our exposure to the impact of U.S. tariffs on Chinese goods. Where we see greater potential exposure is with shipment of work-in-process materials from our U.S. factories into China. We have implemented mitigation plans to minimize the impact of these tariffs in Q2. I’ll discuss this topic in more detail shortly, but with the flexibility inherent in our global operations and our strong balance sheet, we are in a good position to navigate current market challenges. Turning to our results, the first quarter unfolded much as we expected, with sales, gross margin and adjusted earnings all slightly ahead of the midpoint of our guidance. Q1 sales of $191 million were slightly lower sequentially, primarily due to the impact of foreign exchange rate changes and normal seasonality in our portable electronics end market. The announcement of new tariffs in recent weeks had minimal impact on Q1. We continue to work closely with our customers on new design-in opportunities, and during the first quarter we secured new wins in several key areas. Our silicone technology was selected by a leading European OEM to be utilized in inverters for the industrial, renewable energy and EV/HEV markets. Rogers’ reputation for quality and strong technical support capabilities were key factors in this design win. In the EV/HEV space, our polyurethane and silicone materials were designed into several different battery-related applications with major OEMs in the U.S., Europe and Asia. Our curamik power substrates were selected by a power module customer for their onboard charging solution targeted to multiple Chinese OEMs. We’ve also seen a meaningful increase with Chinese OEMs in our curamik opportunity pipeline. We are encouraged by the growth in these new opportunities. Our new facility in China, scheduled to ramp production in mid-2025, will support these local curamik volumes. Although it’s difficult to predict market conditions in which our customers participate, which ultimately dictates the contribution these wins will have on our sales, these design wins underscore our technology’s competitiveness and our ability to solve the most critical challenges of our customers. We also continue to adjust our cost structure in response to recent demand levels and to further increase our competitiveness. I’ll review the actions we have taken later in my remarks. Turning to Slide 5 in our Q1 results by end market compared to Q4, I’ll begin with the ADAS and Industrial markets, which both increased versus the prior quarter. ADAS sales improved at a low-teens rate versus Q4 due to stronger demand from both European and Asian customers. As referenced on our Q4 earnings call, a leading Asian automotive radar supplier selected our materials for a new 77-gigahertz application, which led to increased shipments to this customer in Q1. The growth in Industrial sales was led by the Elastomeric Material Solutions or EMS business. In our Advanced Electronics Solutions or AES business, we continue to see softness in the Industrial market consistent with what our power module customers are experiencing. EV/HEV sales declined in both the AES and EMS business units. Curamik power substrate sales remain soft as power module and other downstream customers continue to manage through the modest end market demand. In the EMS business, demand for our battery solutions was weaker in the U.S. and Europe as some customers adjusted inventories in response to lower sales and tariff uncertainty. Aerospace and Defense declined slightly. Defense sales in the Radio Frequency Solution business or RFS business, continued to grow with both U.S. and European customers. Commercial aerospace sales in the EMS business were lower, primarily a result of order timing. Lastly, as mentioned, portable electronic sales declined sequentially due to normal seasonality. Turning to Slide 6 and our assessment of the tariff exposure on our business. As referenced earlier, our global manufacturing footprint has helped Rogers mitigate most of the impact from current tariffs on goods coming from China into the U.S. With our local-for-local strategy, a large percentage of our products produced in China are sold to customers in region. For this reason, we only have a small exposure to the current 145% tariff on goods from China. The flow of U.S. goods imported into China is where we currently see the most direct exposure to tariff policies. In some instances, our supply chain today ships certain raw materials and work-in-process inventory from the United States to our facilities in China. In addition, we sell some finished goods in China that are only manufactured in the U.S. In response to this tariff exposure, we have implemented mitigation plans, which include managing inventories, sourcing materials from other countries where possible, satisfying customer demand from our non-U.S. manufacturing locations and recovering some of the impact through certain pricing actions. We expect these actions will largely offset the impacts of tariffs in the second quarter. For the flow of goods between Europe and the U.S., we expect minimal second quarter direct impact from the current 10% tariff rate. In addition to the direct impacts on tariffs, there are secondary effects that are clouding the outlook for all companies, including Rogers. This includes the uncertain impact that the current trade and tariff environment will have on global economic growth. It is unclear what impact these emerging risks will have on our sales in the second half of this year, but we’ll continue to pursue appropriate mitigation strategies as conditions warrant. Turning to Slide 7, I’ll highlight the key actions we are taking to further improve our cost structure and which are helping us better navigate this current environment. We implemented significant cost improvements over the past two years, but I’ll focus my remarks on the most recent actions that are reducing 2025 costs compared to the prior year. First, our footprint optimization work is continuing. Plans to consolidate our RFS facilities, which includes the wind-down of production in Belgium, remain on track for mid-2025. We’re successfully qualifying customers at other locations, and with this closure, we expect a $3 million improvement to operating income this year, with annualized savings of $6 million. Also, in our RFS business, we completed the sale of a manufacturing facility in Arizona in late Q1 for $13 million. Finally, with the closure of our R&D center in Boston last year, we have not only achieved better alignment of R&D resources with our business units, but we also expect cost savings of approximately $2 million this year. We continue to reduce our operating expenses and manufacturing costs. We took the difficult but necessary actions to eliminate certain positions in the first quarter following similar actions in Q4 2024. These headcount adjustments will result in savings of $10 million in 2025, with full year run rate savings of $12 million. Additionally, we continue to drive reductions in discretionary spend, such as professional services, travel and other areas. In total, these actions are expected to result in net savings of $25 million in 2025, with run rate savings of $32 million. Around 70% of these savings will be in operating expenses and the remainder in manufacturing costs. We’re focused on driving topline growth. As I discussed at the start of this call, despite the challenging macroeconomic and evolving tariff climate, we continue to aggressively pursue new design wins that underscore our customers’ desire for Rogers’ latest technologies while also delivering the products and services they need to succeed today. However, given the current market realities, we’re prepared to further flex our cost structure if necessary. I’ll now turn it over to Laura to discuss our Q1 financial performance and Q2 2025 outlook.
Laura Russell: Thank you, Colin. I’ll begin on Slide 8 with the highlights of our results for Q1. The overall results for the first quarter were in line with our expectations. Sales of $190.5 million, gross margin of 29.9% and adjusted EPS of $0.27, all slightly exceeded the midpoint of our previously announced guidance. Q1 sales decreased approximately 1% from the prior quarter, primarily due to a $3 million impact from changes in foreign currency exchange rates and seasonally lower portable electronics sales. Adjusted earnings per share decreased to $0.27 from $0.46 in Q4 due to the effect of lower gross margin, which was in part offset by lower adjusted operating expenses. On Slide 9, I’ll discuss our first quarter sales by operating segment. AES revenue increased 2% versus the prior quarter to $104 million from higher ADAS and Aerospace and Defense sales. These increases were partially offset by lower EV/HEV revenue. EMS revenue decreased by approximately 4% to $83 million from lower portable electronics, EV/HEV and Aerospace and Defense sales. In contrast, Industrial sales increased sequentially. Turning to Slide 10, Q1 gross margin was 29.9%, a decrease of 220 basis points from the fourth quarter. The expected reduction in gross margin was equally attributed to utilization headwinds and unfavorable product mix, which impacted gross margin contribution and their manufacturing effectiveness. As shared last quarter, we intentionally carried excess costs in Q1. This decision was to ensure the ability to respond to an expected improvement in customer demand in the second half of the year. The extent of that improvement is now less certain given the current tariff situation. Resultantly, we are carefully evaluating these costs and will further adjust as needed. Adjusted EBITDA of $19.5 million or 10.2% of sales decreased by $3.8 million sequentially. This was primarily due to the lower gross margin and unfavorable currency translation, which was partially offset by lower adjusted operating expenses. Adjusted operating expenses decreased by almost $4 million from the prior quarter, reflecting the ongoing cost reduction efforts that Colin highlighted. Continuing to Slide 11, I’ll next discuss Q1 cash utilization. Cash at the end of the first quarter was $176 million, an increase of $16 million from the end of the fourth quarter. In addition to cash generated from operations, we also received net proceeds of $13 million related to the sale of our Price Road manufacturing facility in Arizona. The primary uses of cash in Q1 included capital expenditures of $10 million and cash taxes paid of $8 million. Turning to Slide 12, I’ll provide an update of our allocation priorities in the current operating environment. Our overall goal is to maintain a strong balance sheet during this period of increased uncertainty while allocating excess cash to its best use. Over the past two years to three years, the focus was on allocating capital to fund organic growth initiatives. With those investments now largely complete, we are focused on decreasing the CapEx intensity of the business. As it pertains to our 2025 CapEx plan, we have identified further reduction opportunities and now expect to spend between $30 million to $40 million for the full year, a decrease of $10 million. Next, returning capital to shareholders has increased in priority given our growing cash position and the lower share price. Consistent with our opportunistic share buyback strategy, we will continue to monitor market dynamics and our share price and will leverage our existing repurchase program approvals. For reference, we have $104 million remaining on our existing share repurchase program. Third, synergistic bolt-on M&A remains a key part of our strategy. We continue to target opportunities with the right product and regional fit that are EPS accretive and with ROIs that exceed our return threshold. Through evaluation, we are continuing to make progress with multiple opportunities that fit these criteria. Lastly, we intend to prudently manage leverage for any potential M&A transaction. In light of the current environment, we would not expect any use of debt to exceed 1.5 times EBITDA and only for a clearly synergistic opportunity. Next, on Slide 13, I will discuss our guidance for the second quarter. Beginning with the topline, we expect Q2 sales to be between $190 million and $205 million. The midpoint of this range represents a 4% increase in sales versus the first quarter. The EV/HEV, ADAS, Industrial and portable electronics end markets are all expected to increase. In recent weeks, we have seen a small amount of customers delaying orders because of the tariff uncertainty. These order delays have been largely isolated, but the low end of our range contemplates the potential for similar trends from other customers. We are guiding gross margin to be in the range of 31% to 33% for Q2, with the increase as a result of both improved volume and favorable product mix. As indicated, we are working to mitigate the direct impact of higher tariff costs. In recognition of the uncertainty this causes, we have widened the GM range by 100 basis points. We expect adjusted operating expenses to increase slightly in Q2 from the first quarter. Similar to prior years, this is related to the timing of when some share-based compensation expenses are incurred. EPS is expected to range from breakeven to $0.40 of earnings. The adjusted EPS range is $0.30 to $0.70 of earnings. Lastly, based on current visibility, we project our full year tax rate to be approximately 27%. I will now turn the call back over to Colin.
Colin Gouveia: Thanks, Laura. Let me conclude on Slide 14 with important priorities for Rogers, not just in Q1, but for the remainder of the year. We are sharply focused on executing our commercial and operational objectives, securing important new design wins with major OEMs, strengthening our sales funnel across both our AES and EMS businesses, and continuing to aggressively pursue our operational efficiency and business transformation initiatives, which includes more efficient internal processes and improved customer experience, and overall, a more flexible and scalable enterprise. We are implementing robust action plans to address and wherever possible, mitigate the impact of tariffs. Our local-for-local strategy is an important element of our mitigation plans and we’ll pursue other steps as necessary. We have taken prudent actions over the last year, which we continue to implement in Q1 to improve our cost structure and operating efficiency. These actions have delivered material savings across the company. If conditions warrant, we will pursue additional cost-saving measures. And lastly, we are highly focused on maintaining a strong balance sheet that provides Rogers with flexibility and capital deployment optionality. Thank you for your time today. I will now turn the call back to the Operator for questions.
Operator: Thank you. [Operator Instructions] Our first question today is coming from Dan Moore from CJS Securities. Your line is now live.
Dan Moore: Thank you. Good afternoon, Colin. Good afternoon, Laura. Thanks for taking the questions. I’m going to start…
Colin Gouveia: Hi, Dan.
Dan Moore: … with the cost savings. Just how much of the $25 million cost savings that you expect to achieve in 2025 is in the Q2 guidance kind of on a run rate basis? And then regarding the $32 million annualized, is that all earmarked for margin improvement and bottomline improvement, or might some portion of that be reinvested in the business?
Laura Russell: Hi, Dan. It’s Laura. I’ll start there and Colin can augment with anything I happen to miss. So in terms of the second quarter, largely most of the savings that we’re going to see there associated to the reduction force that we mentioned with regards to rebalancing our OpEx investment associated to the current topline environment. A lot of the manufacturing savings that were reported there are really predicated on our run down of RFS manufacturing from our Belgium facility. And consistently with what we communicated previously, we’re still on track to exit that manufacturing late Q2, early Q3. So we will see benefits of that in the second half, the around $3 million, but most of the second quarter is more so on the RFS impact. In terms of the quarterly amount there, I think it’s about $3 million.
Dan Moore: For Q2?
Laura Russell: Yes.
Dan Moore: Okay. Okay. And then just looking at, obviously, given all of moving parts, visibility is extremely challenged. Just seasonally, last year Q3 was your strongest quarter seasonally aided by portable electronics. Do you still expect that to be the case once again this year, at least for the bottomline, particularly given the benefit from incremental cost reduction actions? Any thoughts there would be helpful.
Colin Gouveia: Just thoughts on the second half of the year, probably center around some of the key assumptions around what happens for us in terms of portable electronics ramping. We also have still the assumption that we see some of the inventory issues related to the power module market finally abating, and that’ll all contribute to what we think is improvement going forward. But that’s, I guess there’s a caveat in there, Dan, around it’s still too difficult to predict might happen with the geopolitical situation regarding tariffs or other areas.
Dan Moore: Understood, I’ll jump back with any follow-ups. Thanks.
Colin Gouveia: Great.
Laura Russell: Okay.
Operator: Thank you. Next question today is coming from Craig Ellis from B. Riley Securities. Your line is now live.
Craig Ellis: Yeah. Thanks for taking the questions and appreciate all the transparency in the presentation, especially on cost reduction. I wanted to start just by following up on one of the points that Laura mentioned, and it’s a question both for Laura and you, Colin. So she talked about some customers making very modest adjustments on orders, but the question is more about just the tone of customer conversations that you’ve had since tariffs or the tariff issue really started to ramp up in late March and early April. What are you hearing from customers? Are you hearing that while they haven’t done anything yet, they could do things that might have a more impact on business? Just help us understand what’s going on out there as you interact with your key customer constituents? Thank you.
Colin Gouveia: I can start with that as I’ve spent a lot of time with customers and talking to customers as have our commercial teams and technical teams for that matter. So I would say our customers are feeling very resilient as we are. They understand it’s unpredictable, but they’ve been great to work with. And when we talk about how can we potentially mitigate potential more tariffs, it’s working with them in terms of if we source from other areas, could they move qualification in a faster pace? They’re willing to do that. I would say the dialogues have been constructive, open. We feel like we’re in this together. And I see a lot of cooperation coming from our customers and we’re cooperating with them. So it’s unclear, it’s uncertain. We have been through a lot together going back to even before COVID. And so we feel like this is one more hurdle that we’ll work together to overcome. But there’s not a lot of despair. It’s mostly around, hey, this is in front of us. Let’s figure out how to mitigate this and move forward. And we’ll be fine. We’re just really trying to take one step forward every day with our customer base.
Craig Ellis: Yeah. That’s real reassuring. Thank you, Colin. And then the second question, I’ll direct to you. It relates to one of the points that you made on the curamik opportunity pipeline in China. Great to hear there’s good expansion going on. Can you just help reconcile what you’re seeing with that opportunity pipeline, maybe provide a little bit more color on how it’s developed and could further develop through the year? And then more broadly, the global market’s pretty soft and what do you see happening regionally versus globally? And how does that all play out in the strength of the business this year? Thank you.
Colin Gouveia: Okay. Well, I’ll start by saying that, we continue to make good progress on standing up our curamik facility. The prototyping continues and we still anticipate being able to supply customer orders by sometime in the middle of this year. And I would also say that our customer base in China remains excited related to the fact that we’ll be able to produce in China for China. We have a team that’s been, I think, aggressively pursuing design-in-wins, both with Western OEMs based in China and Chinese OEMs. We have several in the pipeline, both one and some we think will be closing soon. So we actually feel good about that. I would say that from the macro perspective, it’s still quite sluggish in the power module space. And we’re anticipating improvement in the second half of the year that will relate to how tariffs unfold most probably and what happens to inventory levels, and of course, consumer demand for EV/HEV. We also still see from a curamik and power module perspective, the Industrial segment still quite sluggish, again, probably related to interest rates and other things related to tariffs as well. But from a longer-term perspective, we still feel very comfortable that we’re in the right space. We do believe EV/HEV will sort out and settle out into that 15% CAGR at some point. And from a curamik perspective, we feel really good about our technology differentiation and especially our tech service and applications expertise. That’s helping drive our design wins. And then as we ramp China, we’ll be very prudent and figure out how to balance supply and demand and we handle that on a monthly basis as we adjust in that area. So I would say we still feel optimistic, but still unclear on when the macro will finally get back to where we want it to be.
Craig Ellis: That’s real helpful. And if I could sneak one in for Laura. Laura, impressive gross margin expansion in the second quarter. And I think you indicated that mix was a significant contributor there. Can you provide more color on the mix dynamics at play? And then because there is so much cost reduction going on, is there some cost reduction that’s also helping albeit a minority rather than a maturity of the increase? Thank you.
Laura Russell: Yeah. Sure. And -- so what I would say is with regards to cost reduction, that’s consistently part of our DNA. We focus on cost management in our manufacturing locations and through our procurement and supply chain on a day-to-day, week-to-week basis. So there will be elements of cost reduction that will favorably impact the margin on a quarter-to-quarter transition. But in addition to that, mix has a significant impact to us as a business with the diversity that we have in the segments, the products, and the regions that we’re serving. And the mix that we had in the first quarter was a little challenged on a quarter-to-quarter basis. With what we expect to be sailing into the second quarter, that will favorably assist us. And in addition to that, that mix isn’t just a product. It’s all the way down to a device level and how we manufacture that through the manufacturing facilities. So we do see improved optimization on that mix into the second quarter, which helps on some of that margin expansion that we have in the guide there. And then finally, you hear me probably repeatedly talk about the benefit utilization has for us. So with that expansionary $7 million in the topline into second quarter, we’ll see the feasible benefit on the utilization as well.
Craig Ellis: That’s very helpful. Thanks, Laura. Thanks, Colin.
Laura Russell: You’re welcome.
Operator: Thank you. Next question is coming from David Silver from CLK & Associates. Your line is now live.
David Silver: Yeah. Hi. Thank you very much. Firstly, I’d just like to mention, I did appreciate the slide deck, in particular Slide 6 and the walkthrough of your different tariff exposures and impacts by different exposure. Very helpful. I did have a question, I guess, a little different angle, I guess, on the tariffs, but more so than maybe the immediate tactical moves that you’ve highlighted. I was thinking about maybe a longer term perspective, but with your R&D and your technical work with your customers, in particular where the collaboration is highest. Have you noticed or would you note any change in the behavior or attitudes of the customers towards working with Rogers or working with a U.S.-based company? I mean, in other words, have projects that maybe have a commercialization date maybe next year the -- over the next year or two, has the current environment led to any significant pauses or rethinking on the parts of your key customers? Thank you.
Colin Gouveia: Hi, David. Colin here. I’ll take that. I would say that it certainly has been a very dramatic last several months. And there’s been a lot of discussion with our customers about what the future looks like. And there have been opinions all over the map from customers all over the world for those I’ve spoken to in Europe and in Asia and in the U.S. What I feel though is that at the end of the day, we feel like and our customers feel like that if we continue to work together as we have for years, and Rogers has been a longtime supplier to a lot of our customers, we’ll be able to navigate these waters together and we’ll be able to go forward. I can’t say I’ve seen any, to specifically answer your question, anti-American company rhetoric. I mean, there are some people who have opinions on what’s going on with the tariffs, but nothing specific against Rogers and most people, if not all the folks I talk to feel like the global economy has proven to be a successful engine for growth for the entire world and things will work through whatever we’re in at the moment and normalize. And we’ll be back to where we want to be to a more stable macro. And so I’m paying attention every day to these changes, keeping close contact with the customers as is the Rogers team. And we don’t feel what you’ve brought up is going to be a big impediment to our growth going forward. Thank you for asking that one.
David Silver: Yeah. I probably worded it not as diplomatically as I intended, but it was more just from customers considering elevated uncertainty as opposed to anti-American sentiment per se. But thank you for walking through that. I appreciate it. I would like to maybe just touch base on your commercial update and in particular the China opportunity funnel that you talked about. I’ve noted you’ve made new investments in products for both AES and EMS. From the increased opportunities that you would cite in China is -- or I’ll just say that the region, but is there a balance of increase on both the AES side and the EMS side or is it tilted more towards PORON than curamik type of products or would it be more solutions oriented where there’s elements of both of your segments? Just to comment on the development of your opportunity funnel in China? Thank you.
Colin Gouveia: Yeah. Thanks, David. I’ll take that one as well. I would say that our opportunity funnel in terms of how it’s balanced, it’s fairly well balanced between EMS and AES. So from the EMS perspective, PORON is lead technology for us, but we also have our BISCO FOAM. We have two polyurethane manufacturing lines in South Korea. UDIS that makes a different type of polyurethane foam that goes quite well in a lot of end market segments. And from an EMS perspective, we’re seeing growth and targeted program wins in the portable electronic areas, industrial EV/HEV. Those might be the three largest ones, although not completely the final end applications we sell to. And then from the AES perspective, it’s mostly, I would say EV/HEV. So it’s ADAS radar, it’s power modules that go into EV/HEV or Industrial and a good portion of renewable energy. And that’s also a key end market segment for our ROLINX Laminated Busbars. So I would say that a good proxy would be, yeah, we see a general, I would say, balanced funnel between the businesses. And it’s also quite diverse in terms of products we sell going into multiple different end applications. So we’re not just focusing, I would say, with one product into one end market in China. I think it’s quite the opposite.
David Silver: Great. Thank you very much. Appreciate it.
Colin Gouveia: Thank you, David.
Operator: Thank you. [Operator Instructions] Our next question is a follow-up from Dan Moore from CJS Securities. Your line is now live.
Dan Moore: Thank you again. And I appreciate the color on both capital allocation priorities, as well as the CapEx update. Given that, what are your expectations for free cash flow this year? And if not a range, maybe just kind of discuss some of the other components where your expectations for working capital, et cetera.
Laura Russell: Hey, Dan. So I’ll start here. So, as you saw, we expanded our cash balance in Q1. So we’re up at $176 million. The growth is $16 million quarter-on-quarter. If you consider that in relation to our topline and our profitability in the first quarter, even with that lower level of activity, we expanded absent the sale of price through to $3 million, inclusive of a capital investment of $10 million. So we don’t guide for the full year, but what I think that tells you is something about the resiliency and our liquidity, and the position that we’re on from a balance sheet perspective. And that’s what framed the capital allocation considerations in the update that we shared in today’s review.
Dan Moore: That’s helpful, Laura. And just thinking a longer term, beyond this year, are you pointing to lower CapEx or is that more of a temporary pullback and still thinking something along the, maybe 7% of revenue range? Thanks again.
Laura Russell: Yeah. Of course. No. I would suggest, historically, we’ve been investing as we expanded our global footprint in satisfying the local-for-local strategy. And we’re largely complete with those capacity investments, which means our organic investment should decelerate. If you look at this year as a proxy, we’ll be sub-5% is what our latest indication is. So I would expect the intensity to decrease. The one thing that I would mention though is consistent with what we should do in seeking optimization opportunities. We’ll review investment opportunities that our businesses and the R&D teams identify on an ongoing basis and make decisions based on opportunity to deliver a significant return that complies with our investment thesis. So I would anticipate a reduced intensity going forward, but I just would like to caveat that with, we have to evaluate opportunities as it presents itself.
Dan Moore: Makes perfect sense. Thank you.
Laura Russell: You’re welcome.
Operator: Thank you. Next question is a follow-up from Craig Ellis from B. Riley Securities. Your line is now live.
Craig Ellis: Yeah. Thanks for taking the follow-up. Dan really just hit on it with the inquiry on the level of CapEx intensity going forward, but I’ll use it as an opportunity to dig a little bit deeper. Laura, as we look at the business and its capital intensity as we switch more from just building out our local-for-local capability and really optimizing the footprint that’s in place. Can you characterize the relative capital intensity of the two main segments? Are there parts of those businesses that would have relatively higher CapEx requirements to sustain them or are there other factors that we could be aware of that would help us understand in a 4% to 6% range where we might be allocating that capital? Thank you.
Laura Russell: And so what I would tell you is with the structure of our factories, I would suggest that, if I look at the investments we’ve made over the last few years, there’ve been somewhat balanced between both of our segments associated to capacity expansion. But also within that CapEx investment, Craig, is what we need to invest in to maintain our existing fleet. And when I think about that as it relates to our global manufacturing footprint, I would view it quite equivalent in terms of visibility that we have. Now, naturally, there may be some individual one-off things that we need to undertake to maintain a facility or upgrade something that’s unforeseen that may be a little more intense. But I think if you look at that over a period of time, it’s going to balance itself, and I would hazard a suggestion that it’s probably somewhat balanced. And even if you consider the investments that we have been making in recent years, we always are inclusive of investments, not just in our capital expansion, but also our facility maintenance. And in addition to that, investments in R&D for optimization in our technology capabilities. And then, finally, on systems and ERPs, so that we can make our organization more effective to seek optimization in the future.
Craig Ellis: Very helpful. Thank you, Laura.
Laura Russell: You’re welcome.
Operator: Thank you. [Operator Instructions] We’ve reached the end of our question-and-answer session. I’d like to turn the floor back over for any further or closing comments.
Colin Gouveia: I would just like to say that thank you for joining our conference call and we look forward to following up with many of you over the next several weeks. Thank you very much.
Operator: Thank you. That does conclude today’s teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.